Operator: Good day, ladies and gentlemen, and welcome to the Park Hotels & Resorts First Quarter 2017 Earnings Call. [Operator Instructions] Please note this call is being recorded. It's now pleasure to turn the program over to Ian Weissman, Senior Vice President of Corporate, Strategy.
Ian Weissman: Good morning, and welcome to the Park Hotels & Resorts first quarter and 2017 earnings call. Before we begin, I would like to remind everyone that many of the comments made today are considered forward-looking statements under federal securities laws. As described in our filings with the SEC, these statements are subject to numerous risks and uncertainties that could cause future results to differ from those expressed, and we are not obligated to publicly update or revise these forward-looking statements. In addition, on today's call, we will discuss certain non-GAAP financial information such as FFO and adjusted EBITDA. You can find this information together with reconciliations to the most directly comparable GAAP financial measure in yesterday's earnings release, as well as in our 8-K filed with the SEC and the supplemental information available on our website at www.pkhotelsandresorts.com. Additionally, it is important to note that all financial results will be discussed on a pro forma basis, which takes into account post-spin adjustments, including the new management fee structure and presents the results of our portfolio as it stands today. Reconciliations to the closest GAAP financial measure in our combined consolidated financial statements, which were paired on a carve out basis and do not contain these pro forma adjustments, may be found in the supplemental financial information available on our website. This morning, Tom Baltimore, our Chairman and Chief Executive Officer, will provide a brief overview of our first quarter operating results and outlook for the remainder of the year as well as update you on our strategic initiatives. Sean Dell'Orto, our Chief Financial Officer, will provide further detail on our first quarter financial results and most recent activity as well as provide an update to our annual earnings guidance. In addition, Rob Tanenbaum our Executive Vice President of Asset Management will be joining for Q&A. Following our prepared remarks, we will open up the call for questions. With that, I would like to turn the call over to Tom.
Tom Baltimore: Thank you, Ian, and good morning, everyone. We are pleased with our first quarter results which met or exceeded expectations on several key metrics, including RevPAR, margins, EBITDA and FFO, clearly demonstrating the benefits of owning a geographically diverse portfolio of high quality hotels and resorts with multiple sources of demand. RevPAR of domestic portfolio, U.S. RevPAR on a comparable basis was up 1.7% and even with this moderated RevPAR growth, we were able to drive EBITDA margin expansion, which was up 15 basis points better than we anticipated. We are pleased with the progress that our asset management team and our operating partners at Hilton had made and starting to improve margins across the portfolio. A key driver of this improvement has been our enhanced focus on group business, an area that we have identified as a key opportunity. Total group revenues increased a solid 7% during the quarter, led primarily by a strong group fundamentals, which in turn fueled large gains in banquet and catering revenue up almost 13%. Overall, comparable RevPAR grew 1.4% during the first quarter on a currency neutral basis. Our margins for the portfolio as a whole were down 10 basis points with our solid U.S. performance offset by our international portfolio, which was down 5.3%. The drag on international was mostly felt at our Hilton asset in Brazil, which experienced a 24.1% drop in RevPAR given the challenging economic conditions in the region. Excluding San Paolo, RevPAR growth for our international hotels would have been a positive 3.7% overall. Looking to where we are in the lodging cycle, our RevPAR performance has been somewhat choppy month-to-month, fundamentals remain positive, albeit at a more moderate pace with the industry delivering its 85th consecutive month of RevPAR growth. We believe that part remains well-positioned to deliver attractive results given our diverse geographic footprint and exposure to markets with below average supply growth forecasted over the next several years. Additionally, in spite of the disappointing first quarter GDP plans from last Friday, we see several bright spots as it relates to the most recent economic data, including a healthy job market, signs of business investment picking up and corporate profits registering a fourth consecutive month of positive gains. Overall, the 2.2% GDP growth forecasted through 2018 in our opinion should be enough to keep this cycle on track, especially with the current estimates excluding any potential benefit from proposed tax cuts, deregulation and increased infrastructure spend. That said, growing uncertainty over the timing of these initiatives has started to weigh on investor sentiment and may dampen hoax of a meaningful inflection point in lodging fundamentals this year. Consequently, we remain cautiously optimistic, but continue to discount any upside into our forecast. As we discussed during our call last quarter, we believe Park holds a competitive advantage over many of our peers with one of the more compelling internal growth stories in this sector. The investment thesis in our story is simple. First, we believe we can unlock embedded value that exist within our core portfolio by closing the margin GAAP relative to our peer set, a gap that we believe we can reduce by a 150 to 200 basis points over the next 18 to 24 months by employing an active asset management strategy. The asset management story continues to take shape with Rob Tanenbaum recently expanding his team adding two season to asset managers with extensive public market experience and planning to add a Head of Revenue Management over the next several months. Second, we have a unique opportunity to activate the real estate across several of our core properties with targeted returns on invested capital of 10% to 20% upon stabilization including expanding the meeting space, platform at Dante Creek and converting the DoubleTree Fess Parker in Santa Barbara to a Hilton with a repositioning design to generate more group demand. Finally, investors impart benefit from a robust dividend that is approximately 200 basis points higher than our peer group average. When you combine these investments positive with the three pillars of our corporate strategy, operational excellence, prudent capital allocation, and conservative balance sheet management we are confident that we can deliver superior returns with shareholders over the long term. Turning to quarterly performance across our core domestic markets, our DC hotels were among our top performers following this year's Presidential Inauguration with our comparable DC portfolio posting RevPAR growth of 10% for the quarter. We expect DC to remain one of our top performing markets over the balance of the year. Not surprisingly Hawaii posted another solid quarter with RevPAR growth of 4.1% driven by strong group performance. Despite concerns over the impact of a strong dollar on International demand to the region we witnessed less than a 1% drop in total demand from abroad, all demand out of Japan by far the largest fee to market to the Ireland was actually up over 4%. Other notable performance included New York which posted a RevPAR increase of 2.9% for the quarter, outpacing a 1.3% decline in RevPAR reported by Smith Travel for the city as a whole. Our New York Hilton benefited from tailwinds following last year's room renovation coupled with strategic initiatives to further drive occupancy in both the group and transient segments. We also witnessed strong results out of Orlando with RevPAR growth of 4.2% versus 3.8% for the market and group revenues up 13% year-over-year. Chicago benefited from tailwinds from a comprehensive hotel renovation wrapped up last year where our hotels posting an 8.1% gain for the quarter. In San Francisco, certain items negatively impacted results with our hotels averaging a 3.8% RevPAR decline for the quarter, our Parc 55 hotel delivered impressive growth of 4.2% for the quarter due to the growth in the group in contracts segments. However, this was offset by the home San Francisco, which experienced an 8% decline in RevPAR due impart to the $26 billion renovation we completed during the quarter, which resulted in revenue disruption of 43.4 million or 860 basis points of impact to the hotel's RevPAR growth. Despite the decline in RevPAR overall, we materially outperformed our peers with reported average RevPAR declines of approximately 6% across San Francisco during the first quarter. Second quarter will be particularly challenging in San Francisco for all hotel operators with the Moscone Convention Center closed for renovations driving convention room nights down nearly 30% for the year. Despite this headwind, we remain confident in our ability to continue to outpace the market given our nearly 3,000 hotel rooms and a 168,000 square feet of meeting space across our complex of hotels and unit square. Along these lines, I would like to highlight our team's efforts at our San Francisco properties as they have taken a very proactive approach at grouping up and have replaced 26,000 of the 36,000 room nights' loss associated with Citywide Conventions at Moscone. We are actively engaged with Hilton to generate in-house group business and we'll add additional resources to supplement our group efforts. Turning your attention to our portfolio refinement strategy, overtime, we intend to reposition the portfolio to focus exclusively on abrupt scale and luxury branded hotels across the top 25 largest MSAs in the United States. This was a longer-term initiative, but we anticipate recycling the bottom 10% to 15% of our portfolio over the next several years. Our investments team led by Matt Sparks, is currently working on a detailed strategic plan to determine the scope of our non-core asset sale program. While the team is still in the early stages of the analysis, they have identified a potential pool of 10 to 15 non-core assets representing $40 million to $45 of EBITDA that are likely candidates for sale. Generally speaking, these assets were locating in secondary markets both abroad and here in the United States, with an average RevPAR that is 25% below the portfolio average. We expect that sale proceeds will be used to fund acquisitions, to retain 1031 like kind exchange as we look to reposition the part portfolio to focus exclusively on abrupt scale and luxury branded hotels across the top 25 largest MSAs in the United States. As for the transaction market, in general, given the global thirst for yield, coupled with renewed confidence on the sustainability of the lodging recovery we believe the window of opportunity to sell non-core secondary market assets remains open. We will update the investment community as the plan materializes in the weeks and months ahead. In terms of straight acquisitions, we currently remain on these sidelines in the near term as our primary focus is on operational excellence given the enormous value creation opportunity we see on the margin front, although, we remain committed to growing our footprint over the long term. So to summarize, we are very pleased with our operating results as our geographically diversified portfolio of hotels located in markets with below average supply growth, and multiple levers of demand help to deliver stronger than expected RevPAR performance for the quarter. While we anticipate second quarter to be one of the more challenging in quarters this year due to tougher year-over-year comps and weaker expectations on the group side, we remain cautiously optimistic on performance for the year and reiterate our 0% to plus 2% comparable RevPAR guidance for the year. I will now turn the call over to Sean, who will provide you with some detail on our first quarter activity and address some housekeeping matters which speak to our increased guidance for the year.
Sean Dell'Orto: Thanks, Tom, and welcome, everyone. As Tom noted, we reported very solid results for the quarter, underscoring the benefits of owning a high quality well diversified portfolio. Looking at our results for the first quarter, adjusted EBITDA was a $177 million, while adjusted FFO was $138 million or $0.64 per share. Both of which were slightly ahead of our own internal forecast. Portfolio performance was largely driven by strength across our top 10 assets, despite the challenges faced in San Francisco. Overall, across our top 10 assets, hotel adjusted EBITDA increased 7.1% during the quarter, with margins increasing by 70 basis points, driven primarily some very strong results at the Hilton Chicago and Hilton New York. As Tom alluded to earlier in his comments, Q1 was a noisy quarter with various events affecting year-over-year comparison. In San Francisco, we attribute approximately 80 basis points of RevPAR impact to the portfolio for last year's Super Bowl. On the positive side, we estimate that the inauguration DC attribute 10 basis points of benefit while the Easter shift also positively affected our portfolio as first core performance like 40 basis points. Turning to the balance sheet, we continue to adhere to our principle of conservative balance sheet management. As of March 31st, we had $3.2 billion in debt outstanding inclusive of our pro rata share of unconsolidated JV debt. Along with $336 million of total cash and a $1 billion available on our revolver, which we believe has ample liquidity to execute on our strategic plan. Our trailing 12-month net debt to adjusted EBITDA ratio was 3.8 times, well within our stated target range of 3 to 5 times. In terms of dividend activity for the quarter, on March 9th, as part of our intended reconversion, we completed the purge of our historical earnings of profits, paying a $551 million dividend to stockholders, which included the $110 million in cash and the issuance of 16.6 million shares of common stock to account for the balance. As it stands now, we have just over 214 million shares of common stock outstanding. Additionally, on April 17th, we paid our first quarterly cash dividend of $0.43 per share and as if last Friday, our board declared our second quarterly dividend of $0.43 per share we paid on July 17th as stockholders of record as of June 30th. This dividend currently translates into an implied yield north of 6.5% maintaining its position as one of the highest yields in the lodging REIT sector. Rounding out the quarter's activity, last June completed the sale of 25% stake in Park, the Chinese conglomerate H&A Group in March with H&A obtaining the right to nominate two directors to our Board as part of the transaction. While we have nothing to report on this front just yet, we expect the H&A nominated directors to join our Board in the near future. Finally, on to guidance, while Tom noted in his comments that we have maintained our guidance for comparable RevPAR, there are some moving parts that will impact earnings guidance for the year. First, we are increasing our guidance per comparable EBITDA margin improvement by 10 basis points at the midpoint, adjusting our range to negative 80 basis points to flat given the better than expected Q1 results. Additionally, with respect to the 600 room transfer to Hilton Grand Vacations at our Hilton Waikoloa Village Resort that we detailed last quarter, we had originally anticipated 140 rooms would be removed from the hotels inventory in June of 2017 for HGV to begin construction negatively impacting our adjusted EBITDA by an estimated $7 million to $8 million this year. Due to a delay to the construction start, the removal of those rooms has been pushed back to Q4. As a result, the impact in our EBITDA will be materially less this year with estimated disruption expected to be just $3 million to $4 million in 2017. Therefore, at times for the Waikoloa add back coupled with the slight earnings fee during the quarter, we are increasing our adjusted EBITDA guidance by $5 million at the midpoint, with a new range coming in at $735 million to $765 million. Despite this increase, we are reducing our adjusted FFO guidance range to $2.65 to $2.77 per share to account for refined estimates for tax provision and other reconciling items as we launch for new company. We've included a bridge in our financial supplement to walk you through these changes to our previous guidance range. As Tom said, we are very pleased with our first quarter as a standalone company, and we are making steady progress towards the key priorities we set for 2017. That concludes our prepared remarks. We will now open up the line for Q&A. In an effort to address each of your questions, we ask that you limit yourself to one question and one follow-up. Operator, can we have the first question please?
Operator: Yes, we can take our first question from Anthony Powell with Barclays. Please go ahead, your line is open.
Anthony Powell: Hi, good morning guys.
Tom Baltimore: Good morning, Anthony. How are you?
Anthony Powell: Doing well. The group revenue growth was pretty strong in the quarter, could you describe how much of that was due to the Easter shift compared to some of your own efforts to. In addition, did you talked about metrics like forward production and pace.
Tom Baltimore: I think the couple of things, Anthony. One, we're not seeing any kind of deceleration in the group pace. I think we said in the last call, we expect around 1% in the year. We standby that and have certainly cautiously optimistic. I do think it's worth noting obviously second quarter is going to be the slowest in terms of a group pace, but if you and that's largely related to San Francisco. If you take out San Francisco in the second quarter, we expect to be up about 1.1% in group. And if you look for the full year, we would expect to be up in group pace about 2.4%. So, we are encouraged, give tremendous credit to Rob Tanenbaum and our asset management team and just how proactive they've been. I also want to complement our operating partners that the collaborative spirit that focused the frequent meetings. Again, a quarter doesn't make a make a year, but we're very encouraged by the early progress we're seeing across the Board and particularly in our strategy to group obviously as we set the fundamental tenant for us for the balance of the year. Rob, anything you want to add?
Rob Tanenbaum: Sure, with regards to group corporate group, corporate group is up 16% fourth quarter which was very encouraging. And we've also see an increase in business transit for the quarter which was up 6.5%. As we look into 2018, we're very encouraged by our group working pace which is up in the high single digit.
Anthony Powell: Okay. Thanks for that detail and on the non-core asset sales program, what kind of timing are you looking at and what do you think the pricing kind of environment is for those types of assets?
Tom Baltimore: That's a great question, Anthony. A couple of things I'd point out obviously, we think if you look at our history our guiding principles obviously operational excellence has been prudent capital allocator and of course having a low-level balance sheet we think obviously being a prudent capital allocator terribly important to recycle capital. When you look at our portfolio obviously our top ten assets account for about 61% of our EBITDA, our RevPAR of about $203 plus or minus our top 25 hotels account for about 82% of our EBITDA with a RevPAR of about a $182 and there's a drop off and so we believe strongly that it makes sense to recycle that capital in those slower growth markets into higher growth markets. And if you look at some of the assets that we've identified so far earlier in the process, they have a RevPAR that's at least 25% below the portfolio average so again we're beginning the process. We'll be thoughtful about it, I don't see any of that happening here in the next quarter or two, I think it will take time as we study but we'll begin that journey and begin that process. We think it's a very prudent course to be recycling capital again on a slower growth markets into higher growth markets. We're also stating CapEx dollars so very efficient use of capital as we move forward. So, not just similar to playbook, you've seen me used in the past and you'll see the Park team used it as well and we'll be thoughtful and laser focused on it to make sure it's done appropriately.
Anthony Powell: All right, great. Thanks.
Operator: And we'll take our next question from Robin Farley with UBS. Please go ahead.
Robin Farley: Great, two questions. Thanks. One about…
Tom Baltimore: Good morning, Robin. How are you?
Robin Farley: Hi. Good morning. Thanks. One is just some consolidations, some M&A activity among smaller mid-size B2B industry is that a strategy that you think that you may use to sort of advance your focus on the abrupt scale luxury in the top 25 is that rather than doing through the asset by asset? And then also just want to clarify from your earlier comments about group business you mentioned the 2018 was up but I'm just trying to understand if what you saw is consistent with from others about bookings in Q1 for the rest of '17 have you also seen a decline in that or I don't know if you're saying that you're seeing something different than always heard from others? Thanks.
Tom Baltimore: Yes, it's two great questions, Robin. Let me just be crystal clear on the group comment and if I miss something my colleague Rob can jump in here. We are not seeing any kind of deceleration in our group pace for 2017, we said last quarter that we expect the group to be up 1% and we're maintaining that without issue. Anything, we're seeing encouraging signs on short term group pick up and what I wanted to point out of my earlier comment is that if you take out San Francisco for both the second quarter, we would be up 1.1%, more importantly, if you take our San Francisco for the balance of the year, for the entire year, we would be up 2.4% in group pace so no deceleration and reiterating what we said earlier we're cautiously optimistic, when we back up and look at both GDP we know was the soft trend in Q1. We do believe if you look out for the balance of this year and next year a 2-2-2-3 planned for GDP is encouraging lodging even more important than that is non-residential fixed investment. Obviously negative last year, down with negative 0.5% forecasted to be a 3% this year we see that as a huge tailwind and a real benefit for lodging giving the strong correlation between business investment in lodging demand. So, very encouraged and the other point that Rob made again, if you look to 2018 the booking pace again mid to high single-digits already and we have about 80% of our group business already on the books for 2017. So, we're feeling very good about our positioning and again we've got tremendous efforts in activities underway with our own internal asset management team coupled with our operating partners at Hilton. Regarding your question on M&A, I have been pretty consistent through the road show in all subsequent meeting, I see really four levers of growth for Park as we move forward. First, obviously embedded ROI opportunities which we see in the near-term that internal growth story is terribly important, you see the opportunity for single asset opportunities. Again, we want assets, abrupt scale in luxury and top 25 markets in premium resort destinations and deals of scale, because we think obviously, that's - those assets will trade at a higher cap rate, there is less competition. We think overtime we'll be very formidable in that area. M&A, no secrets and any listener I have been one of the strongest advocates for the need for consolidation. We want to be part of that discussion and dialogue at the appropriate time. We don't have the currency today and we certainly want to approve ourselves, build our track record and focusing on the operational excellence in the embedded ROI opportunities that will hopefully give us the currency that be able to activate in the go on offense. Last, which was certainly going to see us look to brand and operator diversify overtime. Love our partners at Hilton, but you certainly will see as that other family of brands to the mixed as we move forward. So hopefully that answers your questions and this answers some of the questions of press, we have gone from other listeners as well.
Robin Farley: Great, yes. Thank you.
Operator: And our next question is from Bill Crow with Raymond James. Please go ahead.
Bill Crow: Hey, good morning. Thank you. First topic, on the asset sales - the non-core asset sales, I want under the impression that maybe you take the first year to kind of settle and that be real active and it seems like maybe a departure from that. I am just wondering whether the timing is a little bit sooner than you might have contemplated in it. The second part of that first question is really about use of proceeds. Will you be force to use 1031 exchanges and you'll be out there in the acquisition market?
Tom Baltimore: Yeah, I think look. The messaging might be a little sooner than perhaps you thought. If I could change anything perhaps in the prepared remarks it would be probably more hearing from us soon the months ahead probably not weeks ahead. This will take time, this is a large portfolio, we want to be careful, we want to study the portfolio, we put some asset to the buckets those that believe that obviously are strategic, others that we see as opportunistic and others that we think candidly are in lower quality assets. Again, slower growth markets don't capital incentive. We don't think that's going to be a prudent use of capital, so we think beginning that process to analyze and study and then we are getting some brokers to give us value, so that will take really some time to sort of sort out and then as we look to execute in sale whether its single assets, small portfolios again given the build gain of this the tax requirement is part of the spin the 1031 life exchange will likely be the vehicle that we use with the proceeds. But again, we will continue to study that and I have word to say that about that in the month ahead.
Bill Crow: Great. And then my second question is, I am just curious whether you're benefiting in New York at all either on a very short-term basis or as you think about group booking pays in future years from the Waldorf's closing?
Tom Baltimore: Yeah, Rob is going to give you a little more color on that. I would say a couple of things. That we are very encouraged by what we saw in first quarter. Again, and we did benefit obviously from some tailwind, but a 2.9% plant in New York is strong. I would also add, as you look at April and I didn't talk about this earlier, but let me just say one thing that shows again our cautious optimism, we expected April across the portfolio to be down probably a negative 2% to 3%. We are expecting April now to come in probably just south of 1% positive. So, that's encouraging and again, we benefit from a little bit of tailwind in New York, but New York was up 8% in April. So, those are positive nuggets as we move forward, I want to make sure the listeners hear. Rob?
Rob Tanenbaum: Bill, good morning. We look in New York in particular, we started the quarter with pace deficit of 7.5% and we ended with the group pace positive up 5.9%. That's a credit to the team and the property just adjusted sales strategies led to the volume increase. So, we really, we're thrilled by what they are doing. In terms of Waldorf, it was minimal impact in the quarter by the Waldorf, because Waldorf closed in March 1st. We saw maybe 500 demand I think transferred over demand. And then overall the Waldorf impact on the health of New York is approximately $14.5 million in definite business, 70% of that was catering 30% of that was rounds, majority of rounds coming into fourth quarter and while the catering definitely coming in all - in many three-quarter last year. We like what we are seeing from the change and we feel very comfortable as they approach and take these groups being able to be permanent future as well.
Bill Crow: Great. Thanks for the color.
Operator: Our next question is from Ryan Meliker with Canaccord Genuity. Please go ahead.
Ryan Meliker: Hi, good morning everybody. I want to talk a little bit about San Francisco, if I think or you mentioned in your prepared remarks was that and you have about 26,000 out of 36,000 group room nights already booked for your San Francisco asset? I'm wondering if what the likelihood of booking those other 10,000 rooms is if it's not likely how you guys are thinking about that. And then what type of number you show like you need to see out of those 10,000 remaining rooms to try to book to get you to targeted RevPAR growth flat to down 1% in San Francisco that you mentioned in the last call? Thanks.
Tom Baltimore: That's all great questions, Ryan. Let me try to frame a couple things on first quarter from San Francisco. If you look at the two hotels on the CBD, Union Square and obviously, Parc 55 were down 3.8%, Parc 55 was up 4.2% of RevPAR and San Francisco down 8%. It's important to note obviously, we had renovation disruption. As I said 850 basis points, if you take out the renovation disruption, our 200,000 San Francisco actually would have been up for the quarter and RevPAR 1.9% and it's important to recognize that. So, again and significant we would about perform the market. I would say that we still feel confident that we are going to outperform our appears. I would say we have seen probably a little bit of erosion and said that and you astutely a pointed out, I said down 1%, I would say now we've probably looking to down 2% for the balance of the year, probably a little bit of conservative in the net and I'm confident that that Rob and Sean will make up some of that ground. But still we still expect that we will outperform our peers in that 200 to 300 basis points if not more for the balance of the year. A lot of that is just because of second quarter and obviously second quarter group is down pretty significantly. Again, we did announce that we had backfilled 26,000 of those 36,000-group working in terms of some of the tactics that we're employing. I'll let Rob give you some additional color on that.
Rob Tanenbaum: Hi, good morning. With regard to tactics really looking other sources of business with hotel and particular contract business which is quite a bit in the San Francisco market. Also with our sales strategy it is very, very diligent in how they're doing their e-commerce and digital marketing. So, we're starting to see some positive benefits from that strategy.
Ryan Meliker: That's helpful. And Rob, any idea you know how many of those remaining 10,000 rooms you feel like you need to book to hit that targeted RevPAR that I'm just talk about?
Rob Tanenbaum: Probably about few thousand rooms.
Ryan Meliker: Few thousand, okay, thanks. And then one last one quickly from me is with the like low delay in terms of the transfer of the rooms to HGV I'm wondering what drove that delay and whether there is the possibility for further delays and maybe that's the plateau into 2018?
Sean Dell'Orto: Hi, Ryan. This is Sean. I wouldn't - short-term delay I think ultimately nothing read into it. Teams in HGV side just want to take little more time to make sure to get it right, the long-term strategy for both companies, they obviously looking to sell some good ocean front inventory and we're looking to reduce the size of the hotel and benefit from the safety owners who will be there and take advantage of the inflow demand that we'll get. So, I think it just again long-term strategy just a short delay to kind of make sure things all right. Likelihood, the way hard to tell at this point I think again nothing dramatic in terms of rethinking maybe the room design or whatnot, so I suspect in Q4 get those projects going.
Ryan Meliker: All right. Thanks guys. That's helpful.
Operator: Our next question comes from Jeff Donnelly with Wells Fargo.
Jeff Donnelly: Good morning, guys.
Tom Baltimore: Good morning, Jeff.
Jeff Donnelly: Just a question on guidance maybe just clarifying something is that EBITDA guidance bolt up at the midpoint really because of the move at the low end, I'm just curious considering much of the revision was the pickup in Hawaii and the Q1 B, why not raise both the top and bottom of your guidance as opposed to just the low end, is that just to be conservative or is there something specific in booking that leaves it to be more cautious?
Tom Baltimore: Yeah, I think Jeff honestly, there's a little bit of conservatism in there, we thought it made sense to pull forward some of it. I think it's important to send the right message to listeners, we are very encouraged by our first quarter. I am proud of the way this team is jelling, it's a high wire act, you may recall now it's been 38 years since I left my former company and joined Hilton and launching this to build out a former and complete team get a board in place and just to see the way we're jelling, I'm very proud. So, I think the first quarter is a solid print our margins were much better than we thought that we're in. but when you look at RevPAR in context and certainly looking at some of the disruptions feel very good about that. So, we thought it made sense to incrementally pull forward again a quarter doesn't make a year, we understand that we've got to earn our stripes every day and this team is working hard to do that. We'll continue to reevaluate guidance each quarter as you know. We don't give quarterly guidance. Second quarter will be more challenging but we are already working our tails off to make sure that we can print positive results for divestitures.
Jeff Donnelly: And then maybe as a follow-up and maybe Rob can speak to this as it relates to closing that margin gap, it's your peers I think you mentioned 150, 175 basis points and more over the next two years or so. I know you can't say date and time, but I'm just kind of curious when do you sort of expect that inflection to begin to come through, I know it takes time to turn the ship, but the gap has widened a little bit in the last quarter or two with your peers and I just maybe you can give some expectations for folks, do you think that's going to be more late 2017 or early 2018 when you begin the gain on your peers just curious how you're thinking about it?
Tom Baltimore: Let me get some macro and then Rob can give some of the tactics from strategies that we're employing. Let me be clear Jeff, we are confident that we can close this gap with value creation for investors as significant and we're also confident that we can do this in a spirit of partnership with our operating partners at Hilton. As we've said, you can expect 75 basis points next year than a 100 year after. I would still hold to that, but again the early signs are encouraging. First quarter much better than we thought, again to be just down 10 bps, 10 basis points for the quarter and margins. Rob?
Rob Tanenbaum: We're really thrilled by first point look at given capital like - such an essential part of our team and just that two great team members who have seriously worked with the floor for season to understand the industry and understand the opportunity ahead of self, so these further get into their portfolios, we expect great results from that. And then Tom spoke about the relationship side of the business we can't speak about that now given that our relationship with Hilton is fantastic, it's very collaborative and it really is alignment of our interest. So, with that, we feel very confident in our ability to move the margins. When it comes to how we're going to do it, we're really focusing on remixing the mix then we wanted to improve our group base for the top 25 hotels want to improve our group margin - group basis by 400 basis points to 35% over the next three years. And we sat with Hilton and looked at over top 25 hotels and set goals with each and every property and how that group room night production is going to be for the next three years, which is then translating back to the hotel teams to say further accept their strategy in general line. We're also adding resources to that which I'm really thrilled about, those are going to be on top of the hotel level. So, essentially 100s taking a look at the portfolio and driving new demand to the assets and essentially taking out lead and train over to the property and then they're going to find additional leads. But as we sit and look at the margins perspective, we really think what we do define few of the areas I think we can be further drive opportunity for us to - slightly raising rates were appropriate, reducing a level of discounting, we're further instituting premium room night pricing, we're assuring that we have the appropriate base of business we spoke about our San Francisco like we can't contract business for our hotels we feel very confident about that. And then when it comes F&B, we see opportunities when it comes to pricing and our cost controls. We look at our second quarter, we improved our margin, food and beverage margins by 235 basis points, which again is a huge credit to the operating team in our portfolio. And then we are analyzing other revenue opportunities we spoke about last time, resort fees, parking rates, renegotiating retail leases. Two quick examples I want to share with you Jeff. One is that our QS properties will increase the majority by $5 starting May 15th, it's going to generate another $250,000 to the bottom-line. And then, we've recently signed with Mercury, and two of our flagship stores now in New York. We're really thrilled by that and there was an article this past weekend in the Wall Street Journal and for them it's going to be great partnership as we move forward. Last but not least just want to talk about, the key performance indicators. We sat with Hilton, we've looked at our 25 key performance indicators for our portfolio, we think there is quite a bit of opportunity to narrow the gap between the most efficient operation and the most opportunistic hotels and so we're looking at food cost beverage cost from that productivity. So, we really feel confident as we go forward that we can hit our margin expectations to 75% to next year to 100 year after.
Jeff Donnelly: Well, that's great. Thank you. And actually, can I - where you speak in the third one is just how do the international assets fit into your disposition plans, Tom?
Tom Baltimore: They're part of discussions so that's why I think Jeff it will take a little time. They are it's more complicated there particularly if you wanted to do 1031 type exchange. But we'll have more to speak to that again in the months again probably weighted a little more towards the domestic, but as you know we typically lodging we've haven't gotten credit we're really owning assets outside of the U.S. So, you'll see us the U.S.-centric and we will look to like no load internationally overtime.
Jeff Donnelly: Thanks.
Operator: Your next question comes from Chris Waranka [ph] with Deutsche Bank. Please go ahead.
Unidentified Analyst: Hey, good morning guys.
Tom Baltimore: Good morning Chris.
Unidentified Analyst: So, I want to ask you a little bit drill down a little bit on the group up strategy which I think is paying some nice dividends for you. But I mean is there any I mean do we read through from that at all that there is any less confidence or conviction in corporate trends and rebounding as we look at over the six to 12 months?
Tom Baltimore: No, I don't see that Chris at all. I think the thing to keep in mind here is that we start with an iconic portfolio and again we've got 6 assets with over 125,000 square feet of leading space. We got another 25 assets with over 25,000 square meeting space plus or minus across the portfolio. So, when you look at that base, and if we can move as Rob pointed out with the top 25 assets that we can move from 31% to 35% and take less discounted business yield more on catering in food and beverage we can generate tremendous value for shareholders. So, it's just the natural benefit and a national strategy given the strength of our portfolio that natural. I think historically it just wasn't as much focus, it is a strong focus today certainly coming out from the Park team as well as from our partners that at Hilton regarding some of the transient color. If anything, we're seeing raise some rates as sunshine up, it's encouraging staffing I'll let Rob to share few of those with you as we mature sponsor to the Q&A.
Rob Tanenbaum: Chris, as we if you look at our transit pace for May one of the most positive note is that transit pace for our business dropped for about 4% for May and 8% for June. Not actually continues to year-to-date trend. And as stated earlier, business - during the first quarter of was up 6.5%.
Unidentified Analyst: Thanks. That's great color. Follow-up is just the revisit the margin story for a second, not looking for property-by-property breakdown necessarily, but as you go across your top-10 and then I guess maybe if you talk about a Hawaii a little bit. I mean what are some of the pluses and minuses there and does the sale of room to HGV is are kind of an implicit bake in on margin from that is it hopefully shrinks the hotel and get the rates up?
Rob Tanenbaum: Sure, Chris, when it comes to like Hawaii we think there is an opportunity as we shrink that hotel to further drive rate. We'll have very and we're not to be sign as much groups and that's going to allow us to further drive our rate opportunity. But as we look at our margins throughout the portfolio we really encouraged and as I stated earlier, if we just think the 25 key performance indicators, KPIs, we really believe there is an opportunity to further narrow the gap among the top performing hotels with the most opportunistic hotel
Unidentified Analyst: Okay, great. Thanks, guys.
Operator: We will take the next question from Steven Grambling, with Goldman Sachs. Please go ahead.
Steven Grambling: Hey, good morning. Thanks for taking the questions.
Tom Baltimore: Good morning, Steven.
Steven Grambling: Couple quick follow-ups. I guess on the non-core asset sale program, it seems that - the strategy that there is an expected arbitrage and the value can obtain in this secondary market for as where you can buy in the primary markets. Is that a fair assessment, could you elaborate on the supply demand in bidding, you may be seeing for each of these types of assets?
Tom Baltimore: It's a great question, Steve. And I think there are couple of things to keep in mind here and having done this before with the non-core asset sale, it really will depend on the individual market while the assets with the underlying store is going to be. Some of these hotels we think we can sell unencumbered by flag and management that clearly, I think will appeal of a certain owner operators, there is some obviously that we're going to sell, we can convert to a franchise others that we would look to sell that are going to be encumbered. So, all of that will factor it to the value. I think the greater goal or the more important issue is to think long-term where do we want to be and where do we want to take the portfolio. Again, we start with this iconic portfolio as I said the top 25 assets RevPAR a $182 plus or minus, and obviously that accounts for north of 80% of the EBITDA. So, when we look at those assets in secondary slower growth markets, it's just not a prudent use of capital to continue to invest in some of that's. We'll evaluate again we have identified so far, a short list of 10 to 15, we continue to evaluate that overtime we can look. We think given this thirst for yield so dead markets are still active, private equity is still looking although cautious, but there are players that would be interested in the portfolio of assets that we are talking about. There probably single asset sales could be small portfolios most likely those will be a single asset. In a perfect world, of course you love to be selling those at low cap rates and then buying at high cap rate. I honestly think that will be on a case-by-case basis. There will be some that we'll sell given their quality, given their market that may sell given the capital needs that could sell at a higher cap rates. But we'll evaluate in its totality as we execute plan.
Steven Grambling: And then you noticed strength in catering and banquet. If you were to adjust for Easter what are you seeing in attendance and spending a group of - if you look out on a like-for-like basis?
Rob Tanenbaum: Seller, our group catering contributions Steven, it was up 6.6% to approximately $175 for group remain, which is fantastic and we also seeing, when you look at the fourth quarter pickup, we saw 29% pickup, so there if we not said that shows that there is additional attendance are occurring there and the teams were really focused throughout that to gain additional demand through changing our sales strategies. So, we are seeing an increase of business as evidenced by the increasing group catering contribution.
Steven Grambling: And then very last quick one, if I could. Just on the improved F&B margins. Again, if you were to adjust for Easter and some of the near-term benefits from group. What would that 235-basis point improvement look like and what have been the exclusive things done to make those improvements?
Tom Baltimore: Yeah, Rob, it's exceptional. I think we don't have that information in front of us. I think surprise to say look it's a positive tailwind, but I would also say it's really the hard work and effort of the men and women that are working both on our internal asset management group and partnering with our operating partners at Hilton. So, more to come, but I think a lot of it has to do with the hard work and the initiatives are extensive that we're working. This is a core priority and certainly again as we have outlined if you look at 2017 our key priorities obviously internal growth story on margins and we continuing to look at these embedded ROI opportunities.
Steven Grambling: Thanks so much.
Operator: Our next question is from Shaun Kelly, with Bank of America. Please go ahead.
Shaun Kelly: Hey, good morning guys. A lot of my questions have been touched on. So just one sort of specific one, so, thanks for giving all the additional disclosures in the supplemental. When I was looking through that just was kind of curious on, I notice the sort of non-top 25 hotel properties actually post a really strong RevPAR gain but it didn't look like that filter through the margins so much, I was curious, if there was anything there or any specific reason why some of those markets may have underperformed on the margin front?
Tom Baltimore: I don't think there is anything specific Shaun, it could be some isolated issues here and there. I would say obviously near-term and as we've articulated really focused on the top-25 assets given their contribution to the overall portfolio. We're not neglecting the balance, we will get to them as well with the same level of intensity and discipline, but a lot of our collective energy right now is going focused on those top 25 assets.
Shaun Kelly: Great. Thank you very much.
Operator: And our next question is from Lukas Hartwich with Green Street. Please go ahead, your line is open.
Lukas Hartwich: Good morning guys.
Tom Baltimore: Good morning, Lucas. How are you?
Lukas Hartwich: Good. So, I just have a quick question, Hilton seems to be gaining traction on the direct booking front. And I'm just curious if you're seeing that in your portfolio and if maybe if you can go quantify the impact to you?
Tom Baltimore: Yeah, I would I'd say as you look at OTA just isolated it's about 12% of our business today at a cost of around 13. Obviously, the direct booking is increasing that channels are growing and we're pleased to see that. You're still seeing growth on the OTA side. So, we're watching we're very much partnering with our partners at Hilton continues to force more through the brand that current channels. Obviously, we believe those to be the most efficient and achieve this channel. So more to come on that Lucas and we share that as a key priority anything to get our customer acquisition cost to reduce.
Lukas Hartwich: Great. That's it from me. Thank you.
Operator: And it does appear, we have no further questions. I'll return the floor to Tom Baltimore for closing comments.
Tom Baltimore: Thanks, all of you. Look forward to seeing many of you at May REIT. And we are excited about Park's future and the men and women here who are and working hard on our behalf.
Operator: And this will conclude today's program. Thanks for your participation. You may now disconnect.